Operator: Good morning, ladies and gentlemen. Today is Friday, December 16, and welcome to the Butler National Corporation Second Quarter Fiscal 2023 Financial Results Conference Call. [Operator Instructions] 
 Your call leader for today's call are David Drewitz, Creative Options Communications; Clark Stewart, President and CEO; Craig Stewart, President of Aerospace Group. 
 I would like to turn the call over to Dr. David Drewitz. You may begin. 
David Drewitz: Thank you. Good morning, everyone, and happy holidays. Before Mr. Stewart begins, I would like to draw your attention to, except for historical information contained herein, the statements in this conference call are forward-looking and made pursuant to the safe harbor provisions as outlined in the Private Securities Litigation Reform Act of 1995. 
 Forward-looking statements involve known and unknown risks and uncertainties, which may call -- cause Butler National's actual results in future periods to differ materially from forecasted results. Those risks include, among other things, the loss of market share through competition or otherwise, the introduction of competing technology by other companies; new governmental, safety, health and environmental regulations, which could require Butler to make significant capital expenditures. 
 The forward-looking statements included in this conference call are only made of the date of this call, and Butler National undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances. 
 Important factors that could cause actual results to differ materially from the expectations reflected in the forward-looking statements include, but are not limited to, factors described under the caption Risk Factors in the company's annual report on Form 10-K filed with the Securities and Exchange Commission. 
 So with that statement completed, I'm going to turn the call over to Mr. Clark Stewart. Mr. Stewart, it is all yours. 
Clark D. Stewart: Thank you, Mr. Drewitz. Good morning. I appreciate your time to listen to us and talk to us this morning on the second quarter conference call. I am Clark Stewart. I'm the President and CEO of Butler National Corporation. 
 And I'm telling you we had 2 good quarters so far in this fiscal year. I believe our revenue and our backlogs and all the cash and all those items are holding up very well as you have the numbers in front of you from the Form 10-Q. 
 Backlog is $28.2 million, which is 9 months' worth of business at our current pace. Our shareholder equity is up almost $9 million in the quarter 2 from the previous year. 
 Our income is up 14.5% as well, and our net income for the 6 months even after taking out the $2 million of debt forgiveness is up 23% or about $1 million. So that's -- I'm sorry, it's down 23%. I didn't read the minus sign, but that's where we are. I think we're in fine shape. I have -- I'm willing to answer any questions you might have on the 10-K, 10-Q -- what? 
Craig D. Stewart: Sportsbook. 
Clark D. Stewart: We need to talk about sportsbook a little bit. We are having good luck with the sportsbook so far. We've got retail operation going on a temporary basis inside the casino. 
 And of course, we are the -- DraftKings is our provider, maybe best way to talk about that. We share in some of the profits of that operation as they go through our casino network to furnish that statewide in the state of Kansas. And so that's been a good addition. 
 So far, the -- how much should we go off of that $825,000 resulted in revenue of $825,000 -- Page 2. If you have questions, I think it's time for questions. David? 
David Drewitz: Yes, great. Let's open it up for questions. Operator? 
Operator: [Operator Instructions] 
David Drewitz: Any questions out there? 
Operator: None as of yet, sir. 
David Drewitz: No? Well, Clark, would you like to make a -- it doesn't appear that there's any questions. Would you like to make any closing statements? 
Clark D. Stewart: Thank you, I would. I'm positive on this year. I think we're going to have a very good year. Our sportsbook is strong through the winter months or the fall and the winter, and we'll see how it does next summer. 
 But I think it's doing very well, and we're pleased with very much of DraftKings. They're one of the leaders in the business. Overall, our Aerospace business is strong. We have both good business at Avcon and also in Tempe. And so I'm very happy with how we're doing, and I think we'll do even better as the year goes on. That's all. Any other questions? 
 I want to thank you again for taking your time to visit with us this morning. We're very positive on where we are and where we're going. Thank you very much. 
David Drewitz: Thank you, everybody. And that concludes today's call. 
Operator: Thank you, gentlemen. And this concludes today's Butler National Corporation conference call. Thank you all for attending.